Operator: Ladies and gentlemen, welcome to the DSV Interim Financial Report Third Quarter 2019. [Operator instructions] Today, I'm pleased to present CEO, Jens Bjørn Andersen; and CFO, Jens Lund.  Speakers, please begin.
Jens Bjørn Andersen: Thank you very much. Welcome to this quarterly update Q3 conference call, where I'm again, today, happy to say that I'm joined by Jens Lund, and we will go through the presentation, which you will find online as usual. So I suggest that after you read the forward-looking statements on Page number 2, we will go to the agenda, which we have prepared for you on Page number 3, where we will go through the highlights of the quarter, a little bit about the integration in three divisions. And Jens Lund will then take over, giving an overview of the financial side, talk about the synergies and integration costs in terms of the ongoing integration of Panalpina and also spend some time on the outlook. After that, we will go to Q&A. And as always, I would please ask you to restrict yourselves to only asking questions which have not been asked before and maybe also restrict yourselves to maybe a couple of questions. But on Page number 4, we have presented -- we are presenting the highlights of the quarter. Very, very busy quarter we have gone through in Q3. We've managed to strike a good balance between two very important things. One is to focus on the integration of Panalpina into DSV and then at the same time, running the old DSV business up until the end of August, where we started the integration. And in all modesty, we think we have managed to strike that balance and to do a good job on that. We are, overall, very happy with the performance of our company. And I can say for sure that we have had a very, very good start with the integration efforts of Panalpina. This morning, we have also upgraded the synergy estimates from DKK2.2 billion to DKK2.3 billion. And this is based on a bottom-up approach exercise, meaning that these DKK2.3 billion are now anchored out in our organization to the furthest possible degree. This gives a very good feeling for us here at the head office. The integration cost is expected to be in line with the synergies. And I'm sure Jens will come back to that. We have also -- reinstated an outlook. We have to take away the financial guidance, eliminate that early on in this year. And some of you have asked if you should get used to that. That is not the case. We are happy to be one of the only companies who give a solid guidance to the stock market, and we have always done that. And we believe that, that is the best way to communicate with the market. So this morning, we have given an outlook for the full year 2019 of DKK6.6 billion. And please bear in mind that, that includes approximately DKK100 million in amortization of customer relationships. I'm sure Jens will come back to that. And we will see an increase in amortization of customer relationships due to the acquisition of Panalpina. The markets that we operate upon are volatile and they are not the best. Especially, air freight has a little bit shown some weakness. This is primarily due to trade wars. And of course, there are general macroeconomic uncertainties also. You can see the numbers. I'm sure you have read them yourselves. But the fact that EBIT is up 6.1% in the quarter and 7.9% in year-to-date, we are pleased about that.  Page number 5, an integration update. We say it's on track. We've had the pleasure of putting the 2 companies together and spending time on that for a little over 2 months only now and in the quarter, only a little over 1 month, so it is limited. The impact in this set of numbers is relatively impacted relatively limited. But so far, all lights are green. We are happy with what we have seen so far and fully lives up to our expectations. We've split this overview into 3 segments: operational, IT and business segments. And you can read some of it yourself. But then management teams have been appointed or, in some cases, reappointed. We have had kickoff meetings in the countries. And we continue to be very close to our customers. This is extremely important for us. And so far, we have not seen any material customer losses. We are also making a plan right now, where we will merge the head office functions together in one place. When it comes to IT, I think we've spoken about that before. We have chosen the DSV Air & Sea platform, CargoWise One, as the future TMS system for the Air & Sea division. And we are in the process now of training our employees. And in certain areas, for instance, the U.S., we are already in some offices in the U.S., working on CargoWise One already. When it comes to the business segments, we have spent a lot of time on getting the global commercial organization together. It's extremely important to stay close to the customers, as I alluded to. And we have retained the Panalpina way of dealing with the large corporate blue-chip companies in certain industry verticals that we are happy about. Panalpina came in with a lot of expertise when it comes to perishables and then also a little bit different way of procuring air freight in a so-called charter network that will continue in DSV Panalpina as a separate business area in the Air & Sea division. So, so far, we are happy with that also.  So let's go to Page number 6, where we see the result of the Air & Sea division. I think both as a standalone and also as a combination with the Panalpina volumes, once again I can only repeat myself from previous quarters, a very, very powerful, a very, very strong result and once again beat our own expectation from the Air & Sea division. Very nice to see, but also significant GP impact, of course, from the Panalpina acquisition, as you can see. I will come back to the volumes on the next slide, but we are super happy to see that legacy DSV volumes in sea freight grew 7% whereas we had a slightly more negative development on air freight, where we had a 6% decline. We never made as much money as we did in the quarter, and we, of course, it is fantastic to be able to see that when we stand on the brink of a very big job when it comes to integrating Panalpina, that our own company is in very, very good shape. You can see we have, of course, been dilutive a little bit as expected on the margins. But if you see what the margins would have been excluding Panalpina, we would have achieved a conversion ratio of 45% and then EBIT margin of almost 12%. I think that stands in comparison with most. So Page 7, a little bit on the volumes. We have warned everybody a little bit that a certain alignment needs to be made when it comes to volumes. So the old DSV volumes, you can see, we have separated them from the Panalpina volumes. We, of course, need to align certain principles, that's how you count the volumes. And it could be that we need a couple of more quarters to get that fully into effect. So be a little bit careful doing too many calculations where you take the volumes and multiply that with the yields that we are having. We have a good development in the yields in air freight, excluding the Panalpina volumes, have gone up to almost DKK 7,900. Some of you have this morning asked, is that sustainable? Also here just a word of caution, this is due to the fact that we are in a declining environment. And I think it will be correct to assume a slightly lower, maybe the average for the last 3 quarters or something like that. But you see on this slide also that the markets are still down 4% on air freight, slightly less than what we saw in Q2. But it is a market which is not growing for the time being. As we enter now into Q4, we do believe that we will see a slight, a small improvement as the negative trend in air freight actually started in Q4 1 year ago. On sea freight, we have a much better development. We have grown 7%, where the market only grew 3%, so a strong performance in sea freight. And it is worth noting that, that performance also came with only a very, very marginal drop in the profit per unit, so we have managed to maintain what we had even by growing as much as we did. So the last two divisions, Road. At first glance, it could look a little bit disappointing that we are down 10% organically on EBIT. This is, of course, something that we are normally not satisfied about. But when we look, as management, on the underlying developments and exclude a few one-offs that happened in the quarter, we are actually very, very pleased with the development of the Road team. We had some down-trading because of Brexit, of course. We are very big when it comes to automotive in Germany. It's an area which is in relatively strong decline right now. And then we have a miss in Austria that costed us also in the neighborhood of DKK 10 million. And if we exclude the impact from these activities, we actually saw a satisfactory performance in the Road division. And apart from this, it was also a little bit more slow over the summer period than what we normally see. But I'm happy to be able to say that this quarter has started fairly well, and that we are relatively confident that we will, during Q4, see EBIT growth year-on-year. I'll put in another word that Q4 this year will be stronger than what we saw a year ago. A little bit the same for Solutions on Page 9. It replicates a lot of what I just said on Road. Also, impacted by decline in automotive, Brexit and also again we have invested in automation and new facilities, which could have had a negative impact of somewhere between DKK 10 million and DKK 15 million in the quarter. And as I said with Road, we also believe that Q4 in Solutions will be better than what we saw in Q4 last year. And then please bear in mind that Solutions has taken some giant leaps in the past, significantly growing their EBIT, and they are at a very high level now. That still means that we will ask them to improve the results. The EBIT, don't misunderstand me, but they are a new level now. And overall, we are also confident with the future prospects. And we are actually also here happy when we analyze the underlying results in most countries in Solutions. So with that said, I will hand over to you now, Jens, Page number 10.
Jens Lund: Well, thank you very much. And as you can see Page 10 is now so busy that we don't have any comments left. So I will try to guide you through it so that at least you can see some of the places where we think we should focus a little bit. So first of all, because it's interesting to see the revenue, but basically, the focus should be on GP and the like-for-like comparison on GP. And also if you go back to the Q3 release, you can go on Page 3, you can see the split between what is organic and what is IFRS 16 impact, what is acquisition impact and so on. And as Jens Bjørn already told, we've had an organic growth of more than 4% in the quarter and actually year-to-date, 6.2%. If you look at the numbers, you also can find in the release. So of course, that's a representative of the value that we create. And then it's always interesting to see what's the conversion rates on that. We get to keep a larger proportion of that. And it is good to see that in the quarter, we managed to keep -- or increased the EBIT with 6%. So that's been a higher margin of conversion rate on that. And of course also, year-to-date, it's the same picture, we are on approximately 8% growth on the EBIT level. So I think we are seeing that all the things we have seen in the past, they continue. And that's exactly what we are looking for. If we look at the financial items, they are fairly low this quarter. It's because, as I've explained before, the way that FX gains and losses are calculated, some of our intercompany loans have a huge impact on that. This quarter, it's been favorable so that's always nice, should be able to speak about that. But I'll just remind you that the dollar or some of the other currencies can go in another direction as well and then you will see the opposite impact. Given the way the company is organized and the larger presence we have outside of Europe, these fluctuations will be larger than ever before. Tax, sort of fairly stable, and of course now, 61,800 employees will probably be the baseline for many of your analysis going forward, so also an important number to pay attention to. On the cash flow side, the first thing we should talk about on Slide 11 is probably working capital. You need to calculate the new level of working capital vis-à-vis a normalized revenue. And we have sort of provided a pro forma number over there of 3.2%, which is higher than what we have seen before but also expect that due to the larger proportion of Air & Sea business, they typically carry a higher level of working capital investment than the Road business. That has been a larger part of the DSV group. If we look on the cash flow statement, I think it's fair to say that it becomes more and more meaningless, the more IFRS impacts that you can see that the investing activities, DKK1.4 billion, but we paid DKK35 billion for Panalpina. So how can that be? Well, according to IFRS, you have to get it out because we paid the shares. Had we paid in cash, it should have been disclosed in another way. And yes, it doesn't have to make sense at all because it doesn't. So a little bit about the cash flow. So if I was you, I would make my own indirect cash flow statement and use that for my analysis. I think you're better off with that. The cash flow for the period, DKK2.5 billion, DKK2.6 billion last year, so a little bit more should have been produced actually from DSV. But I think we are on track to deliver good cash flow for the year. If we take the invested capital, DKK70 billion, comparable figure DKK21 billion, IFRS impact, DKK12 billion, and the rest relates to Panalpina plus normal development. So also here, a significant swing in the number. And this means something for the return on invested capital. But I think there's not much more to say on this slide. If we take the Slide 12, you can see what is it that we expect in the group's win. So 5% in 2019 of the DKK2.3 billion will be a part of the number that we have guided. So you should expect that in synergies. Add another 60% on top of that in 2020, so the accumulated number will be 65%. And then add another 35% in 2021, so the accumulated number will be 100%. So actually we expect to see the full year impact in '21. And we think we've gotten off to a good start with the execution on the integration programs. If we go to Slide 13, of course, an integration always comes with cost. And you can see that we expect to pay 30% of the one-off cost in 2019, another 55% in '20 and then the remaining 15% in 21. You should expect more or less a 1:1 relation. Of course, there's going to be a few accruals, but we simply don't have the visibility to say something about this. It shouldn't impact your cash flow too much. It will be smaller numbers we are talking about. So glad to see that the plans that we have made on a top-down approach now also is confirmed in the bottom-up approach that we have made. So it means that the synergies, they are part of the local management's ownership today. Of course, it's our overall responsibility, but we are really happy for this bottom-up approach we've had. On 14, just to customer relationships. The number you calculate in Excel and there's no cash flow behind it and that used to be just goodwill in the good, old days. Now you can see how it's amortized over time. You can see there's a little bit left of the UTi acquisition. That's the light blue in the bottom. And then the Panalpina in the top, there's approximately DKK 800 million, we talked about a couple of percent on the last call. So when we have made a more structured rundown of the IFRS, then that it turned, our assumptions turned out to be correct. And sort of that's where the number comes from. It is a diminishing balance method we use in order to amortize it. So we've just chosen to give you some guidance on how it should impact your models. The outlook for 2019 on Page 15, DKK 6.6 billion in EBIT before special items. And the special items around the sort of DKK 700 million figure, and this includes then DKK 100 million of customer relations, whereof 80% relate to Panalpina. I think that was more or less it on this. Then I think the last slide we have is the share buyback. And I can say there's a small mistake that our former CFO, Robert Erni, has mentioned to us that we should make sure that the share buyback program runs until the 6th of February 2020 under the second bullet. So just call it out here. And of course, that was the original plan anyway. So you can see how the allocation of capital to the shareholders will pan out in the bottom. So this year, we expect to repay more than DKK 5.3 billion. And we will continue down this path with a rightsizing of the balance sheet so that we get a more optimal capital structure than we have today. As you can see, we, today, hold 4.3 million treasury shares, so also a little bit of information on that. With that, I think we are on Slide 17 and then we are ready to take your questions and would be happy to answer them.
Operator: [Operator Instructions]. And our first question comes from the line of Daniel Roeska of Bernstein.
Daniel Roeska: Congratulations on a successful start with the integration here. Two questions then, if I may. One, you mentioned the GCO structure earlier. And could you kind of put that into context of the wider sales organization and kind of elaborate a little bit what you changed? So how will these changes be felt in the regions and offices? How does that relate to your kind of country P&L structure? Does it change the way decisions are being taken? Are you changing incentivization KPIs? Just a little bit more color on that reorganization in the GCO, please? And secondly, on the IT then if I could ask. Deciding for CargoWise, what are kind of the things you then still need to do to kind of transport the Panalpina business on to CargoWise One? Are there any additional functionalities you need? Do you need to adjust the IT stack kind of around CargoWise? And maybe if you could comment on kind of the air freight gateway concept that Panalpina was using, how that kinds of fit into the planning here?
Jens Andersen: Yes. I'll start with the GCO structure. And then maybe, Jens, you could elaborate on the IT. We have a problem in the past, had a little bit more opportunistic approach to some of the larger accounts, where we saw that Panalpina was much more structured with industry vertical hits and the structure that we actually like very much. So we have retained that in DSV under the management of Karl Weyeneth. We are very happy about the fact that he is part of the team. And he heads up this under Rene Falch Olesen, who is the Chief Commercial Officer in DSV. One of the many main differences though that we will ensure happens is that the pricing power in this is realized in the divisions, not only on the sales organization. This will be more like a joint, what you say, operation going forward. But the fact that we have industry specialists heading up the large customers in DSV is extremely welcome. We already have had the pleasure of meeting of several of our new large customers. And they appreciate very much this new hybrid between the way we did it in DSV, where there's a very strong and local empowerment and making sure that the customer will see top execution, but also an account management structure, where the customer is dealt with by specialists who have a very deep understanding about the industry. So I think we have managed to take the best of two worlds here.
Jens Lund: Yes. And then on the IT side, I would say that the functionality we have in CargoWise, it's probably, and the software stack surrounding it really, it's not only CargoWise, I think that's very important to mention on the DSV side. It can replace the solution that was in place in Panalpina sort of for most of the volumes fairly easy, of course. Then there are some of the more complex solutions that you would have for PO management and certain 4PL capabilities. Well, we have the tools in place in DSV that is needed to replace them actually out based on information, say, that they at least have the same functionality and they are connected to our systems. But as a transition for the customers, you have to explain where it is we're going and where we're coming from. And that's something that we have experience in. And then I think it's fair to say that the productivity you see in DSV, it relates to data quality. And since we have a higher productivity, it's probably the assumption you should use in such a debate is that this also benefits the customer. Because then they will get better reporting, they will get better interaction with us for many different things, could be booking, could be status information, could be various things. So we actually see that it's a good journey and we really found some very good temporary solutions that will help us to keep the service levels with the customers in the transitional phase so that we can have a very structured switch from one platform to another. So all in all, I would say that we are in a very good shape and we know exactly what we need to do when it comes to this. Of course, another big thing is, of course, the basic infrastructure we have in place on master data as well as some of the other tools we have in place so that we can provision the new users. We have gone live now already with the first country. And actually today, three more countries move on to the DSV platform. I just spoke, for example, here before the call with the U.K. And they are now taking bookings and moving cargo, so printing the freight documentation and also writing invoices on the CargoWise platform. Yesterday, they worked on the Panalpina platform. So it just tells something about the scalability that we are capable of, given the way we have organized ourselves. So I hope this answers sort of your concern. And I will just sort of also say that we feel confident if it sort of doesn't filter through.
Daniel Roeska: Excellent. Could I ask two clarifications just to put this into relation? Kind of how big is the new GCO compared to the rest of the sales organization? And you said kind of most of the volume is fairly easy for Panalpina. How much is fairly easy? Are we talking about 10%, 20%, 30% that are more difficult or a much smaller number in terms of the Panalpina volumes, where you're looking at kind of enhanced functionality?
Jens Andersen: I think that the GCO structure is much smaller. I mean we have thousands of salespeople in DSV servicing the local customers. This is the most important thing for us. So GCO is something that we have put in place for the largest accounts in DSV. And you need to achieve a certain threshold to be dealt with by the global commercial organization. When it comes to IT, I think I can maybe add a little bit to what Jens said. I have spoken to some of the people who've been trained in CargoWise. They are extremely excited about going and moving over to CargoWise. They feel it's a more smooth system to work upon. It makes their life much easier than what it was before. And it's not only replacing what was in place in Panalpina, I think actually CargoWise, in many instances, are superior to what the functionalities that we saw. The fact that you can reuse data in a much smarter way, it is more efficient. I think that is what we can say at this moment in time.
Operator: And our next question comes from the line of Damian Brewer of RBC.
Damian Brewer: I really just do have two questions. First of all, within the business, given the auto exposure, could you just give us an update on, across the group as a whole, how much of your GP at the moment is related to the automotive industry? And then secondly, I just want to come back to what you're getting from Panalpina. If I look back at Q3 2018, it would appear that the equivalent in Danish kroner EBIT was about DKK 190 million. And yet for Q3 or rather for half of it, you got around about DKK 60 million, which implies about to DKK 120 million run rate. As you look at Panalpina, has there been a very significant deterioration in profitability in the business? And although I appreciate that it's hard to partial out the more you integrate, how much more deterioration do you assume in the coming quarters within the targets and goals you've outlined today?
Jens Bjørn Andersen: Yes. Damian, first on the automotive, we haven't aligned the figures totally. But I think it's fair to assume that the automotive exposure for the whole of DSV could probably be a little over 15%. But what is important to say, that, that is not only European or German automotive, this includes also automotive in the U.S, which, for us at least, has a much, much better development than what we see in Europe. So this includes what we do on behalf of all of the 3 divisions, not only the Air & Sea. So you should calculate with a little over 15% as the right number. And then maybe slightly below 10% is -- probably I would say half of that relates to Europe.
Jens Lund: Okay. And then on the housekeeping exercise, I think when you look at the number, it's a net figure. So you have to take customer relations into place. There's already amortization in the numbers in Q3 as well. So it's not really DKK60 million, but it's probably sort of DKK75 million or something like this that you should look at if you adjust for the customer relations, DKK75 million to DKK80 million. And then if you double that, because it's only half of the quarter, you probably come to, let's say, a number of sort of DKK150-ish million. If you then look at the next quarter, I'll probably look at a run rate between DKK150 million and DKK175 million. Of course, I think it's fair to say that I think you could rely on the reporting you got out of Panalpina. But given where they were at, I guess also there was some interest to make sure that everything was reported as it went along. So it's not that there are big deviations. But probably, we're going to be more or less on the same level as the year before when you make your models and all that. I think you can stick to that but certainly not more.
Damian Brewer: Okay. But just DKK175 million for Q4 versus, if you translate what they actually reported in Q3 '18, was equivalent to DKK230 million. So I just want to be clear, the DKK6.6 billion of this year and the implied around about DKK8 billion next year, if you look at the synergies, that includes the sort of 25% deterioration year-on-year in the Panalpina profits that we're seeing at the moment?
Jens Lund: Let's see. Well, let's see how that pans out. It's also very hard for us to say exactly where we end up. We are trying to have a little bit of a conservative approach on this, Damian. It's hard for us to be more specific about it. I don't think that if I look at it right now that we have the full visibility on this and how has it been accrued up until the switchover and all that. So I'll be cautious to read too much into it.
Operator: And our next question comes from the line of Lars Topholm of Carnegie. Please go ahead. Your line is open. 
Dan Jensen: This is Dan here. Sorry, I don't know why he mentioned Lars, but Dan here anyway for questions. On the customer base, how are they -- do they compare? Because Jens Bjørn, you mentioned that you have not seen any major client losses so far. Still, ahead of this, you usually expect that you can see a loss of up to 5% of the customer base and you've not seen anything so far. So the 5%, is that stretched or a bit too aggressive on the negative side? A bit more flavor on how these 2 customer bases compare, please.
Jens Bjørn Andersen: I think we need to be a little bit careful also being too optimistic, so we still count with the 5%. We will enter now into a season where there's more tenders coming up. We need to re-tender for some large chunks of business. But there's nothing that tells us we will not be successful in those. But still, we have 500,000 active customers in DSV or in excess of 500,000. So of course, there's a constant change in the customer base. But logically, we have, for the large accounts, some sort of surveillance, where we on a monthly basis calculate how they develop. And apart from the normal, unfortunately I would say, down-trading that some customers are having, we talked about others who talked too much about this down-trading. We also have customers who are exposed to, for instance, some retail business in the high end. In Asia, for instance, you have a very, very strong growth. So they are not down-trading at all, a contrary to that. So we have to remember that sometimes. But I think there was a little bit of common misunderstanding before that Panalpina had customers who were far more complex and far larger than that of DSV. It actually turned out that the customer bases were fairly similar. And we now have a system in place where we have taken the best of two worlds, and we are now, what should I say, able to handle all types of customers also. But I would still keep the 5% in the calculations.
Dan Jensen: But are there more or less [indiscernible] between the clients than you originally thought?
Jens Bjørn Andersen: Actually, I would say less. We were happy to see that. There were some customers that we were a little bit embarrassed, but we had to say that we have never moved a single kilogram for these customers. And that's a good question we can ask ourselves, "Why could that be that these customers did not know DSV before?" But that was the case. And that is, of course, positive because it means that we don't go in and take too large a share of wallet with these customers.
Dan Jensen: And then just sticking to my allowance of two questions. Maybe a bit of flavor on the air cargo market. What do you see there right now? When can we expect some sort of a return to growth? Because comps should become easier now, I expect.
Jens Bjørn Andersen: Yes. You are absolutely right. But then to be honest, your view is probably as good as ours. I know you follow this very closely also and have a deep insight into this market. So I don't think I have more intelligence. But you are right, the sharp drop in volumes, as far as I remember, it did start in Q4 last year, so comps will become easier for what it's worth. So we have seen 1 percentage point improvement from Q3 to Q2. But I think that will also will continue. And let's hope for year-on-year growth when we get into 2020. But it is a little bit anybody's guess right now.
Operator: Our next question comes from the line of David Kerstens of Jefferies.
David Kerstens: Two questions, please. Maybe first on the potential of the global commercial organization, where do you see more scope for commercial opportunities from the integration of Panalpina and then what verticals? And is there also potential here for yields improvements via cost selling of value-added services and increasing Panalpina's gross profit per unit? Then my second question is with the faster-than-expected synergy target, are you still targeting EPS accretion for 2021? Or is it fair to assume that, that will now likely be realized already in 2020? I appreciate that it's partly dependent on the pace of share buybacks. And is 8% a fair run rate to assume for 2020, based on your latest share buyback program?
Jens Andersen: I'm happy that we get so many questions on the GCO. The team will be pleased about that because they actually do a fantastic job. What has struck us, it's not necessarily a surprise, but that is that there is a big interest from the former Panalpina customers to get to know our road and contract logistics capabilities. It was, of course, we respect that Panalpina was into contract logistics, but they were probably 1/10 of what we are in DSV. So we are 10 times bigger and Panalpina didn't really have a road network. I guess we can say to sell at least nothing that stands in comparison to what we have in DSV. So these are, of course, different projects that we have now that we need to get going on these cross-selling initiatives once the integration has been started. And this is not part of the synergy number we have given today and we cannot measure it really. But I would hope that we would be successful in also convincing some of the customers that they should look in our direction when it comes to road and contract logistics services. And maybe Jens on the last?
Jens Lund: I think basically if we look at the sort of acceleration or whatever you want to call that, I'm not sure that it's that accelerated, but I think we still look for EPS accretion in '21. And maybe that in the last quarter of '20, we will realize something. Time will tell. And of course, the level of share buyback, I think you're alluding to with the 8%, I think that will still be the plan that we will execute on that. And we will issue the 8% maybe 7 or 9, we will see how it pans out during the year. I can't remember we have communicated the 8% so that must be something that stands for your own account, but it's not probably a bad estimate.
Operator: Our next question comes from the line of Andy Chu at Deutsche Bank.
Andy Chu: Just one question for me, please. Just in terms of WiseTech share price performance, the short-selling attacks on that company, does that cause you to think about any sort of operational risk? Or is that just off the radar screen, please?
Jens Lund: On the WiseTech issue, it's a software, it's a product, it's a service we have bought. Of course, we have a whole software stack surrounding it. I think that's very important as well. And there's a road map for development of the functionality on the WiseTech platform. And we don't see any impact from what is going on in the stock market when it comes to this. You will sometimes find some short-selling activities. And I don't know exactly how they have communicated to the stock market. But apparently, there's been a gap of information because it's been used by somebody. And whether it's relevant or not, I'm not so sure. So we can't really say more about that.
Operator: Our next question comes from the line of Lars Heindorff of SEB.
Lars Heindorff: A follow-up on the question regarding air cargo volumes. I know that the market is soft and it looks like you have been sort of doing slightly worse than the market. But in terms of yield, which was up on DSV standalone very significantly, could you elaborate a little bit on that, how that has developed during the quarter and what you see going through the fourth quarter as well?
Jens Andersen: Yes. We saw actually the development that we wanted to see, not necessarily the drop and that we lost market share, but when we see that -- when we see a weak development in terms of volumes and if we are even worse than the market, we would hope and expect a good performance on the yield. It's always been like that. Volumes are very, very strong, yields drop a little bit. If volumes are weak, then yields should go up. We did -- we, I think, talked about it a little bit on the last call as well, we have separated at least one -- probably one of the largest air freight customers we had in terms of number of shipments because of unsatisfactory behavior, you can say, from the customer also in terms of payments. And just not living up to the terms we had with already very long term -- with very long payment terms agreed. If you don't adhere to that, the return on investment for us is simply not satisfactory, and we kind of came to a conclusion with this particular customer from a country not so far from here that we had to cease the operations. So that is probably the whole reason for the nonperformance in terms of volume in air freight. So can that continue? Again, first of all, as I'll be careful, with putting these yields in and then I would also be careful doing the normal calculations that you do. You have to accept that, that the volume predictions multiplied by yields, that exercise is more difficult to do. You would probably not come to a total accurate result right now as there are uncertainties also in terms of the volumes, the way they are being reported in Panalpina was very different from -- or somewhat different from what they are reported as in DSV, there's the perishables element as well. But we think that if air freight continues to be weak, we expect yields to continue to be high.
Lars Heindorff: Okay. And then another question, a second question is regarding the net working capital. Obviously, you need to tie it a little bit more in connection with integration and then also now with Panalpina onboard. Any comments on -- I assume that your aim to have a net working capital which is below 2% longer term still stands and how to get down to that again?
Jens Lund: We will see where it ends out, Lars. It's another customer mix and the jury is still out on that one. I would actually suspect that we have to move the target because of the Air & Sea sort of overrepresentation. If you look at our numbers, it's clear that Road has the lowest and there's none of that volume in Panalpina. Whether will we then be able to improve the situation on the working capital? Time will tell. On the Panalpina side, they have not been doing too bad a job themselves. But it might be that the combination of the DSV capabilities and the Panalpina capabilities can lead to us squeezing out a few extra Swiss francs or dollars or wherever they are laying this money.
Operator: And our next question comes from the line of Marcus Bellander of Nordea. Please go ahead. Your line is open. 
Marcus Bellander: Two questions, if I may. The first one on synergies, you upgraded them slightly. I'm just curious as to what the reason for that is, what is it you have found in Panalpina that made you upgrade the synergies? And then my second question concerns the Road business. I believe you write in the report that the European road market stalled in Q3. Just wondering if you can elaborate a little bit on that and maybe also say something about whether it stalled at the end of the quarter, at the beginning of the quarter or what's going on there.
Jens Bjørn Andersen: Yes. On the Road side, as I said, it was a little bit more quiet over the summer period than what we saw a year ago. So we saw some weeks with very little activity. And even though we are asset light, we do have some fixed capacity in Road in some countries at least. So that deteriorated -- or that had a negative impact, as I said. Maybe not so much in the quarter, but after the quarter, it's been fairly okay. We've had a pretty strong start to this quarter, which is nice. Unfortunately, there's no statistics that we can use to measure the activity that I know some of you guys, you measure bridge crossings. I saw some statistics on domestic bridge in Denmark, which looked pretty good. So I think it's a fairly okay start to the year -- or to the quarter in Road. And when it comes to synergies, I think Jens here went through it. But it is simply a fact. It's not that we have seen anything else. When you go out in many -- probably 70 countries and ask them to do an integration kind of type of exercise, you don't have to get a lot of post variances from each country before you find DKK100 million as we did. We were, of course, very pleased that the top-down exercise we have done here, together with some senior management before, I have to say, is not just something Jens and I do here in our office, but that was a replicated with a bottom-up process. So now it is the best feeling we can have is that this number, DKK2.3 billion, is anchored out in the organization. And they are confident that it's a lot of, what you say, positivity and excitement when we speak to our people there. They cannot wait to get going and they're very optimistic about achieving the business case, which is nice that they are so enthusiastic about the task that lies ahead of them.
Operator: Our next question comes from the line of Mark McVicar at Barclays. Please go ahead. Your line is open. 
Mark McVicar: Two questions. One, to do with the integration, given that you've only been in control of the business, what, 9 weeks or something, what has caused you, what have you seen that's caused you to bring the achievement of the synergies forward by presumably a whole year? It's the first question. And the second question is you said very much in the presentation that you would keep the perishable and charter operations as separate activities within Air & Sea. Do you see yourselves leaving them completely untouched? Or do you plan to make some changes even though they are, to a degree, standalone? What's the thinking around those two activities?
Jens Lund: I think I can perhaps reply to, first, the synergies. If you look at also how they sort of were realized when it came to UTi, it took us back then 11 months to move all the volume out of their platform. I think here in Panalpina, it will probably take us a little bit more than 12 months to switch all the volume over to the DSV platform. And now that we bought the company sort of closed the deal on the 20th of August, this ties in nicely actually, having done all the activities before year-end next year. And we are confident, given the plans that we have in place, that this could happen. Could there be one country then where it's still missing due to some negotiation with some union or whatever? Then we will live with that. But I think the majority of the countries or the 98% to 99% will swing over quickly. So I think we are confident when it comes to that. When it comes to the activities, as you mentioned, I think it's back to something that we do quite a bit in DSV. And we call it fact-basing. So it could be also a question about IT and gateway that I forgot to answer as well. But our IT platform, we measure all of these things in a certain way so that we can measure the profitability. It's probably a more granular approach than I have seen at any company we have bought that we do it with. And this means that we didn't have facts on how are things performing and what is doing well and what is not doing not so well. So that could be the gateway for the charter network or it could be the perishable operations. And of course, then it is like everything else and DSV will deploy some capital. We get that from the investors and then hopefully there's some EBITDA.
Jens Bjørn Andersen: You alluded to it yourself, Mark, that we've known the business for 9 weeks. It could be a little bit disrespectful to have a lot of views on this already. I know we want to do the integration as fast as possible. But we also respect the significant size of these 2 operations. And I must say, both they look pretty promising. And I'll say especially the charter network, it is an excellent product that is of a very, very high standard. Of course, we just now -- as Jens said, we need to isolate it in the DSV P&L and then, of course, also see if there's some willingness amongst the air freight transport buyers also to pay for that excellent product. But it's something that we can definitely, our old air freight guys can learn something from. And so far, we have still work in progress to put it that way.
Operator: And our next question comes from the line of Arthur Truslove of Crédit Suisse.
Arthur Truslove: Arthur Truslove from Crédit Suisse on behalf of Neil Glynn. So obviously, the synergy targets don't include any revenue benefits. But was wondering, have you sold any value-added services in the ocean segment or indeed any road forwarding services to Panalpina customers just yet? And in addition to that, how do these pipelines look for that sort of business?
Jens Bjørn Andersen: We wish we could include some of the software synergies, procurement synergies, cross-selling synergies, but it would be too easy for us to sit here and promise all that because you guys could probably never hold us up and hold us accountable for that. So we have restrained from doing that. We've never really talked about that. What we are super confident about is the cost synergies, and you can find those cost synergies in the P&Ls in the coming quarters. And you're more than welcome to hold us accountable for those also. We think that is the most fair way. It would have been nice if we could also guide a little bit on the others because hope, I agree, we hope very much that we will see also synergies in terms of cross-selling and also some procurement synergies. We haven't really, it's too early to say that we have seen any benefits yet. I know a lot of meetings have been taking place between the [indiscernible] customers and our divisions, has expressed in some excitement also from some customers. But as to my knowledge, we haven't signed any kind of material large contracts at this moment in time. But of course, we hope it to take place going forward.
Operator: And our next question comes from the line of Aymeric Poulain of Kepler Cheuvreux.
Aymeric Poulain: The question I have is on the, again, the synergy benefit being advanced a bit and how quick you were able to extract them. So my question is, is it because the market, the air freight market in particular, is weak and therefore cost savings can be achieved faster? And if indeed, we had a turning of the market, rapid growth in the second half of next year, would that compromise your synergy balance sheet? Or would you recover that through the lower attrition rate perhaps that it would imply? Could you explain us how flexible this strategy is regarding cost savings and obviously investment for growth?
Jens Lund: I would say that we've always managed to increase the productivity all the time by [indiscernible] that we make investments in infrastructure that simply is more efficient. So we rightsize the business and have done so for, for many, many years, to the current capacity that is under demand in the market. And when we grow, we've always been able to scale. I think that's sort of been the trademark of DSV that we can do that. So I wouldn't expect us, unless we get growth of double-digit magnitude for a long period of time, that we will have capacity restraints on ramping the volume. The synergies, I'm not so sure that they are that much faster because, as I said on UTi, we took their production system out of production within the first 11 months. Here, we'd probably take a little bit more than 12. Of course, the company is larger, so I would say we are moving ahead, more or less, at the same pace as we have done before. And I think we experience the things that we normally experience. Of course, our teams they know how to deal with it. They've done it several times before. Luckily for us, our people, they stay on for a long period of time. So we keep the expertise in the company. And I think that's what it's all about. So that we are comfortable that we can execute on the plans that we originally made on the top but is now part of every country's ownership. And that's exactly what we need.
Operator: And our next question comes from the line of Frans Hoyer of Handelsbanken.
Frans Hoyer: A question about the evolution of your OpEx synergy estimate. You started out with the DKK 2.2 billion and you have now anchored it across the organization. And the number is DKK 2.3 billion and staff is very optimistic of being able to deliver on that promise. And I was wondering, as you unfold these efforts, is there a natural point in time when you reach a milestone and you might be able to update us again on that OpEx synergy estimate, please?
Jens Lund: Yes. I think as we also did on UTi, we had updates to the timing of this as well, depending on how we are faring. Hopefully, we can live up to what we have said now. And if we do better, we will, as we realize this, of course, give you an update. I'm not sure that you can take into account that we have stated that our staff are very optimistic about it. But I think we can say that it's now anchored as a bottom-up project. I think we can commit to that. So just want to clarify that so that -- but in general, of course, we are confident when we say things to the stock market that we can deliver on them. So yes.
Frans Hoyer: So the timing of your next update would be when?
Jens Lund: Yes. It would typically be -- now that we come with the annual report, we will come with the guidance for next year. And then hopefully, it should stack up to the things that you can derive from the information that you have here so that we have guided the market in the right direction. And that there's a good understanding of what we are capable of delivering. I would also say that if there's already an upgrade after the thing in February, than we probably didn't do our homework well now that we report here in November on that. So I wouldn't keep my hopes too high for another upgrade opportunities in February. I would say that would probably be a little bit premature.
Frans Hoyer: No, I'm just trying to try to understand the rollout and whether there are any natural points in time when you -- also when you think about the risks involved in transferring Panalpina to the CargoWise system and so on, you have visibility of when the hurdles, when you cross those and when you might be in a position to be more specific or make a new assessment? That's all.
Jens Andersen: We can say one thing, and that is it actually ties up very well because it's still too early and the plans can still change. But we have prioritized some rather large countries to go on to CargoWise here at the end of this year and at the very, very beginning of next year. So if we succeed in those plans, we will have a much better visibility and more experience to share with you guys when we announce the full year numbers 2019.
Operator: And our next question comes from the line of Sam Bland at JPMorgan.
Sam Bland: Two, please. First one is just where the synergy benefits are coming from, particularly in the near term. I guess we've got about DKK 1.5 billion of synergies due by the end of 2020. It sounds like it's going to take you a little bit over 12 months to migrate the IT systems. I guess the bulk of the synergies between now and the end of 2020 are coming from somewhere else. Could you just sort of elaborate on actually what's delivering those? And the second question is on the Panalpina volumes that you've brought across. I guess you said so far, you haven't had any material losses. But from what you've seen so far, is any of that Panalpina volume the type of volume that you might not want to keep? And so if we do see some volumes leaving the grid, that might not necessarily be regretted.
Jens Andersen: We saw that with UTi also that there would be some -- it's not like that's volume we don't necessarily want. We want all volumes which can be moved, but it needs to be done on commercial terms. We understand that if that is not the case. We tried to have a discussion with the customer. But I have to say, it's too early still because we haven't applied all the DSV accounting principles on the whole setup. And we need to understand how the customers are actually filling in. But so far, we are pleased also with the levels that I have seen, with the experience I have when you look at the contracts and I look at the rates that the customers are paying. There's nothing that really comes to mind, urgent kind of activity or changes needed there. So I think we are on pretty solid ground on that.
Jens Lund: And on the synergies, I think that I can just say it's typically, let's say, you have two offices and there's 100 people in both, then at the end of the day, you might need 150 to produce the same volume on our sort of the platform that we will use going forward because it has a higher productivity. Then perhaps day 1, you can already reduce a little bit. But then during the next sort of six months, you can take out staff because after six months, all people that work on the new platform will typically have the same productivity. So that's basically how it's done. And this then ties nicely into the way we have projected the synergies as well. So you can see that we pay one-off 13% in 2019 but only managed to get 5% into the books, stable, of course, have a big impact from the beginning of next year already. And then there will be other countries migrating on in the beginning of 2020, as Jens Bjørn just said. And this is basically how it works. And then the synergies, they slowly filter in. And that's then what we get in the bottom-up plans, the detailed planning of this made by the countries. And that's basically what we have accrued on the basis of. So I think that should explain how we have done it.
Operator: And as there are no further questions on the line at this time, I'll hand back to the speakers for the closing comments.
Jens Bjørn Andersen: Thank you, gentlemen, because there was no women at least asking any questions. Thanks for your big interest in DSV. Very pleased about all the questions that you had. As always, we really appreciate the fact that you follow us. You're always welcome to contact us for further details, you know that. We will hit the road now with roadshows both here in Europe and in the U.S. So if there's any investors you would want us to see, let us know. We will go back into the engine room, work very hard. It's a very interesting quarter that lies ahead of us now in Q4, where we will have the first full quarter with the combined company. Great salute also to all our staff, both ex-DSV and ex-Panalpina people. You've done extraordinarily well. We cannot say enough how much we appreciate your efforts, so thank you for that. Please keep up the good work. And with that said, we will conclude this conference call and say goodbye here from Hedehusene, Denmark.